Operator: Welcome to the Crown Crafts, Inc. Investor Conference Call. Your host for today's conference is Randall Chestnut, Chairman, President and CEO. [Operator Instructions] Any reproduction of this call, in whole or in part, is not permitted without prior written authorization of Crown Crafts, Inc. And as a reminder, this conference is being recorded today, June 19. At this time, I would like to turn the call over to Olivia Elliott, Vice President and CFO, who will begin the conference. Please go ahead.
Olivia W. Elliott: Thank you. Welcome to the Crown Crafts Investor Conference Call for the fourth quarter and full fiscal year 2013. With me today is Randall Chestnut, the company's President and Chief Executive Officer.
E. Randall Chestnut: Good afternoon.
Olivia W. Elliott: A telephone replay of this call will be available 1 hour after the end of the call through 8:00 a.m. Central Daylight Time on June 27, 2013. Also, a Web replay of this call will be available for 90 days and can be accessed by visiting our website at crowncrafts.com. Before we begin, I would like to remind everyone of the cautionary language regarding forward-looking statements contained in the press release. That same language applies to comments made in today's conference call. I will now turn the call over to Randall.
E. Randall Chestnut: Olivia, thank you, and good afternoon, again, and welcome to the Crown Crafts, Inc. investor conference call for the full year FY '13 and the fourth quarter FY '13, both ending March 31, 2013 of this year. I will handle some of the brief details. Olivia will elaborate some, and then we'll open up to any questions that anyone on the line may have. Net sales for the quarter were $23.6 million as opposed to $24.8 million, a $1.2 million decrease, which is 4.9%. Net income for the quarter was $1,854,000 as opposed to $1,894,000 or a decrease of $40,000 or 2.1%. Diluted earnings per share were $0.19 for last year and also the current year. Turning to the full year, net sales were $78.4 million as opposed to $85.3 million, a decline of $6.9 million or just over 8%. Net income for the year was $5,111,000 as opposed to $5,039,000 or an increase of $72,000 or 1.4%. Diluted earnings per share were consistent year-over-year at $0.52. Net income for fiscal 2013 was the highest that we've seen since fiscal 2002, if you exclude the one-time effects of the $3.7 million after-tax gain on debt restructuring in fiscal 2007 and $4.2 million income tax benefit in fiscal 2006. Longtime shareholders will recall that fiscal 2002 was the year the company began the company's strategic transformation by divesting legacy businesses and reemerging as a new focused -- new focus on infant and juvenile consumer products. We're very proud of this accomplishment. It should be noted that late in the fourth quarter, we successfully sold the Churchill Weavers property of Berea, Kentucky. We've been actively marketing the land and the building since we'd closed Churchill in 2007. We recorded an after-tax loss of $62,000 for the sale, which were recorded in the numbers that I just reported to you. It should be noted that this loss is -- represents $62,000, almost $0.01 per share. But I must say that after holding the property for as long as we did, it was a good loss. Sales for the fourth quarter were impacted by several factors: number one, the discontinuation of the unprofitable private label bedding program that we've been talking about for the year. The impact in the fourth quarter and full year accounted for slightly more than half of the sales decline. The other big driver for the quarter and also for the year, for the quarter and the full year, were both impacted negatively by the initial shipment of a modular program from a major customer being shifted from Q1 FY '13 back into Q4 of FY '12. In addition, retailers remain vigilant in controlling their inventories and sell-through, and our retailers continue to be impacted negatively by the soft economy and the lower birth rate. Gross profit percentage improved from 23.2% in the prior year quarter to 26% in the current year quarter and improved for the full year from 22.9% to 25.2%. The improvement can be attributed to 4 factors: one, the discontinuation of the private label bedding program, which was at a loss; two, improvement of prices from our slot of suppliers as raw material prices declined from all-time highs a couple of years ago; three, the continued success of our products that we have reengineered when raw material prices had previously escalated to an all-time high; and the last is increases for prices, where -- in prices where we felt that we could without major -- making major impacts into the sales. The balance sheet. We finished the year with no debt and a small cash balance on hand. And I've got to tell you, that feels pretty good. Dividends. On May 15, we announced our 14th consecutive quarterly dividend and our fifth consecutive dividend announcement at $0.08 per share. This represents 5.2% on an annualized basis based on yesterday's close price. The dividend will be paid on July 5 to shareholders of record as of June 14, 2013. Very big note. During 2013, we're very proud of the fact that we returned $0.78 per share, or a total of $7.7 million to our shareholders. And still, we ended the year debt free. Not a bad return to the shareholders. Before I turn it back over to Olivia, I'll make one last final note. On May 21, we filed an 8-K announcing the extension and modification to our $26 million revolving credit facility with CIT, and Olivia will address this in a little more detail. I'll turn it over to Olivia, and then it'll come back to me for any questions. Thank you.
Olivia W. Elliott: I'm only going to give financial highlights. For a more detailed analysis, please refer to the company's Form 10-K filed with the Securities and Exchange Commission this morning. Net sales were $78.4 million for fiscal 2013, which was $6.9 million or 8.1% lower than fiscal 2012. Net sales for the fourth quarter of fiscal 2013 were $23.6 million, which was $1.2 million or 4.9% lower than the fourth quarter of fiscal 2012. Sales declined in fiscal 2013 as a result of the discontinuance of an unprofitable private label infant bedding program. Additionally, both the fourth quarter and full year were impacted negatively by the initial shipment of a modular program for a major customer being shifted from the first quarter of fiscal 2013 into the fourth quarter of fiscal 2012. Sales were also affected by the decreased birth rate and the continued sluggishness in the economy, which has prompted many of our customers to maintain tight controls over their inventory. In spite of the decrease in sales, gross profit for the year increased in amount by $224,000 and increased as a percentage of net sales from 22.9% to 25.2%, while gross profit for the quarter increased in amount by $370,000 and as a percentage of net sales, from 23.2% to 26%. The increase as a percentage of net sales can be attributed to lower production costs, resulting from the redesign of several product lines to reduce the company's dependence on cotton, the cost of which had reached record-setting levels in fiscal 2012. The discontinuance of an unprofitable private label bedding program mentioned earlier also contributed to higher margins and countered the declines in sales. Gross profit for fiscal 2013 was also positively impacted by a $286,000 decline in fiscal 2013 and amortization cost related to the acquisition of the baby products line of Springs Global in November 2007. Marketing and administrative expenses for fiscal 2013 increased in amount and as a percentage of net sales as compared with fiscal 2012, primarily due to a $706,000 increase in overall compensation cost, which was offset by a $241,000 decrease in advertising cost. Interest expense decreased by $148,000 in fiscal 2013 as compared to fiscal 2012 due to lower balances on our credit facility. Also, we amended the financing agreement effective as of the beginning of fiscal 2013 to provide for the payment by CIT to the company of interest on daily cash balances held at CIT at the rate of prime minus 1%, which was 2.25% during fiscal 2013. The company earned $61,000 in interest income on its daily cash balances held at CIT during fiscal 2013 compared with earning no interest income during fiscal 2012. The provision for income taxes decreased slightly to 36.3% during fiscal 2013 from 36.4% in fiscal 2012. For the quarter, the provision for income taxes increased to 36.3% for the current year quarter from 33.2% for the prior year quarter. Net income for the fourth quarter of fiscal 2013 equaled that of the fourth quarter of fiscal '12 at $1.9 million or $0.19 per diluted share. Net income for fiscal 2013 was $5.1 million or $0.52 per diluted share compared to net income of $5 million or $0.52 per diluted share for fiscal 2012. Included in the fourth quarter fiscal 2013 amount is a onetime after-tax loss of $62,000 related to the sale of the former Churchill Weavers property. On May 21, 2013, we announced an amendment of the credit facility with CIT to extend the revolving line of credit 3 years to July 11, 2016, to reduce the financial covenant test from $6 million in excess availability to $3 million in excess availability; to reduce the fixed charge coverage ratio from 1.1 to 1, to 1 to 1; to reduce the interest rate from prime plus 1% or LIBOR plus 300 basis points to prime plus 0.5% or LIBOR plus 200 basis points; and to reduce the unused line fee from 0.25% to 0.125%. I will now return the call to Randall.
E. Randall Chestnut: Olivia, thank you very much. And in closing, I'd like to say that management of the company remains optimistic about our future. We've discontinued the private label bedding program that we've been talking about, which represented more than $3 million in sales and was very unprofitable. We maintained tight controls on all of our costs at all times. We ended the year with no debt on our balance sheet. And yes, we have a declining birth rate and an unstable economy that we're concerned about, but we're well positioned for the future. We'd like to thank all of our customers, employees, suppliers and shareholders for their continued interest and support in our company. 2013 was a successful year and we thank you. So Jamie, if you will back and open it up, we'll take any questions that anyone might have.
Operator: [Operator Instructions] And our first question comes from Dave King from Roth Capital.
David M. King - Roth Capital Partners, LLC, Research Division: So I guess, maybe first off, can you quantify or are you able to quantify the impact that you had in the quarter from the shift in the modular program last year and how much of that might have weighed on the year-over-year decline in revenues versus, let's say, just the general kind of soft economic birth environment, et cetera?
E. Randall Chestnut: Yes, I can give you a range, Dave. Hold on a half a second, I can pull it. It amounted to over $2 million.
David M. King - Roth Capital Partners, LLC, Research Division: Okay. Okay, that's helpful. And then, I guess, just more generally on the retail environment, Randall, I know in your prepared remarks you commented that it's still pretty soft out there just because of the economy and birth rates, et cetera. I guess beyond that, has anything changed at all? Are you seeing any signs of improvement out there? Maybe just more color around that would be helpful.
E. Randall Chestnut: Now, Dave, it's still a tough environment. I mean, there's no question. For every light that comes on, it seems like there's something to cause that light to go dim again. The economy is still tough. Our customers are impacted by the unemployment rates and the economy. And the retailers are still just -- I mean, they're vigilant on controlling their inventories because they're not bullish on their sell-throughs. So we're fighting for our share and, knock on wood, we're getting it, but it's still a tough environment.
David M. King - Roth Capital Partners, LLC, Research Division: Fair. Fair. And then maybe lastly and then I'll step back. On the gross margin, that's been up fairly significantly for several quarters now and I get some of that's lower cotton prices recently. And then now, just improving some production costs internally, pricing adjustments. I guess, maybe how do you think about the gross margin as we look forward? And how sustainable is that improvement? And what should the key drivers be that we should think about?
E. Randall Chestnut: Well, I mean, Dave, all the things you mentioned all well -- are true, and very, very, true. But the one that you didn't mention is when you take that unprofitable private label bedding program out of the equation, which is now gone, that had a drag on the gross profit, okay? So definitely, that's an exercise. That's gone, okay? So we don't have to circle around and deal with that anymore. But I mean, we don't forecast, as you know, so we're optimistic about our future, but we're cautious when it comes to just forecasting for the future.
Operator: Our next question comes from James Fronda from Sidoti & Company.
James Fronda - Sidoti & Company, LLC: I know the unprofitable bedding business has negatively affected your revenues. But what do you think it's going to take to generate revenue growth for fiscal 2014? And I guess, if you can you talk about some new products that may help you out for growth this year.
E. Randall Chestnut: Well, I mean, one, the economy has got to get better and the sell-through at retail has got to get better. Two, the birth rate has to stop the decline and take a turn for the uptick, okay? Consumer confidence just got to get better. For our programs, we've got some new programs going in, in 2014 that we're not ready to announce those yet, but we've got some things going in, some programs going in with some retailers that we're pretty excited about. And I mean, we think that will improve our stance within the retailers, and we'll see some of that kicking in more likely in the second quarter of this year, of the current year.
James Fronda - Sidoti & Company, LLC: Okay. And I guess what is the difference for you growing sales in Walmart during this past year while experiencing a decline in BRU and Target?
E. Randall Chestnut: We -- Target was a different situation, okay? There was some programs there that were discontinued, et cetera. Babies"R"Us has had a tough environment. It's at the upper end of the market scale. So therefore, it's sort of been hurt a little more. I mean, I see what you're saying, Walmart went from 38% -- 34% to 38%. The big increase there was from additional placements we had in the bib and the disposable products category. Those businesses in the bib and the disposable products took some very nice increases at Walmart in FY 2013. Babies"R"Us, on the other hand, they were impacted negatively by the upper side of the economy.
James Fronda - Sidoti & Company, LLC: Okay. Okay. And I guess the SG&A expense for the quarter was slightly higher than last year on a dollar basis. Is there anything specific going on there, or was that just related to compensation?
E. Randall Chestnut: There's nothing going on there. It's at normal at all.
Operator: [Operator Instructions] Our next question comes from Igor Novgorodtsev from Lares Capital.
Igor Novgorodtsev: I have a few things. If you can give us a little bit more detail about your gross margin. I mean, it's very nice to see that the gross margin is improving and it seems to be holding around 26%. Do you think this 26% is going to be the new normal, so to speak, versus 22%, 23% or it's a little bit hard to tell because there's too many moving parts?
E. Randall Chestnut: Well, I mean, as I said, as I answered Dave a few minutes ago when he asked that question, part of it is a permanent fix when you take out the drag that the private label bedding program had on the gross margin. It had a pretty substantial drag, negative drag. That's a permanent situation because that's gone, okay? The other, it's all subject to the whims of the marketplace and the suppliers, et cetera. And again, that would be forecasting, and as we said today, we really try not to forecast the future and that includes forecasting or predicting what our gross margin percentage might be.
Igor Novgorodtsev: I just remembered that you mentioned that the cost of raw materials were a little bit lower and it's probably chemical [ph] last year. But this year, the cotton prices has ticked up a little bit. Do you think that's going to have a major effect with you?
E. Randall Chestnut: Well, I don't think that's going to have a major effect. It has took a slight uptick. But again, what we did, if you've been following us for a while, we lessened our dependence on cotton by shifting our whole program away from cotton into a polyester. So it doesn't have as major of impact as it once had.
Igor Novgorodtsev: Okay, fair enough. My second question, I think the last time I talked to you, you were mentioning passing the few plants, potentially looking at some acquisitions, and I know that a lot of your competitors are in a much more distressed state than you are. You're actually financially very solid. Are you still looking at somebody?
E. Randall Chestnut: We look -- I mean, we're looking all the time. We -- yes, we are looking. We met with some people as recent as the last week. So we're constantly looking. And if somebody will talk to us, we'll fly out and talk to them, I promise you.
Igor Novgorodtsev: Right. Well, if you were to add to your company, what kind of acquisitions would like to make? I mean, theoretically, what would be your ideal acquisitions?
E. Randall Chestnut: Are you talking about -- were you talking about acquisitions or just adding?
Igor Novgorodtsev: Yes, acquisitions, acquisitions.
E. Randall Chestnut: Okay. No, no, no. I mean, it would depend on the acquisition, okay? I mean, if it was an acquisition that we can merge in, we would only add the staff that we needed to do the sales, sourcing, et cetera. And that's as broad as the spectrum of whatever the acquisitions are. If you make acquisitions, you would have to bring in quite a few of the people from the existing company.
Igor Novgorodtsev: No, no, I'm sorry, I must have -- you must have missed my question. My question was, what kind of line of business would like to add? What kind of line of business would like to grow? If you were to make an acquisition, what kind of companies are you looking at?
E. Randall Chestnut: Oh, okay. What kind of companies?
Igor Novgorodtsev: Yes.
E. Randall Chestnut: Okay. I mean, anything in our space in the juvenile industry, in the infant and juvenile industry. We're not interested in items that can cause quality -- excuse me, safety concerns, things like car seats, et cetera. That's one of the most major. But anything within our space that we can understand that we can expand upon and we can bring something to the table.
Igor Novgorodtsev: Okay. Are you looking anything, perhaps some sort of international presence, or so far, this is not a consideration?
E. Randall Chestnut: ; We've looked at both. We've looked at both.
Igor Novgorodtsev: Okay. Okay. And my last question, and I think you've mentioned several times that there are still economic headwinds and obviously, you're highly correlated to housing, to household formation and the housing has started to pick up about a year ago. To what degree -- I know that you have, looking at your presentation, you look at a lot of -- you have a lot of projections, birth rates, et cetera. I know that you don't want to forecast anything, but do you see any pickup, which is perhaps diligently about a year just because the housing has picked up and people move into new houses and start new families and have more children?
E. Randall Chestnut: I mean, all those things help the economy, they help the birth rates. But, I mean, again, that's sort of speculating on the future. And what I said, in closing, is we feel very confident that we're in the right position, the right place at the right time to capitalize on any opportunities that come our way. And we will seize all those opportunities in the economy as they strengthen to seize and get extra sales.
Igor Novgorodtsev: Okay. But no one has -- none of your clients have communicated that they see any pickup on activity yet, or want more inventory or anything like that?
E. Randall Chestnut: We haven't seen much of that, no.
Operator: [Operator Instructions] We do have a follow-up question from Dave King from Roth Capital.
David M. King - Roth Capital Partners, LLC, Research Division: Just a few more. Maybe just real quick on that acquisition, those acquisition questions, just to follow up. Randall, maybe you could talk about just the supply of deals that are out there. Has that changed at all over the past year or 2? Are there more opportunities now, status quo? Just some color on that would be helpful.
E. Randall Chestnut: Yes, Dave. And that's a good question. I mean, the opportunities are out there. I haven't seen an increase. I would say, with all the options you've laid out, I would say status quo is the best option of all. There's still some deals out there. The problem that we have is that people want more for the deals and many times, we're willing to pay. And so we look and -- but we're not going to overpay, and we're not going to stretch the balance sheet and do things that are going to endanger the company. And there are some opportunities out there, but we haven't found the right formula. And as the previous caller asked, we've looked both internationally and domestically. And we very much would like to do something. But I haven't seen a lot more coming on. It's been about the same.
David M. King - Roth Capital Partners, LLC, Research Division: Okay. That's helpful. And then -- and forgive me if I missed this or I just should be aware of it already, but on the gross margin, the benefit that you've had, either in dollar terms or basis points, from discontinuing the private label line. What was the benefit?
E. Randall Chestnut: And Dave, we didn't break it out. We didn't break that out, okay? And that would be because it was a negative impact, it would be very difficult to break it out separately. And we haven't published that number. What we did say, the gross margin in the quarter improved from 23% to 26%. And in the year, from 22.9% to 25.2%. But that's all out there [ph].
David M. King - Roth Capital Partners, LLC, Research Division: Right. And based on your other comments earlier, it's fair to assume that a lot of that was driven by...
E. Randall Chestnut: Based on the other comments, that would be a fair assumption. It did help, there's no question about it.
David M. King - Roth Capital Partners, LLC, Research Division: Okay. And then lastly, receivables over the past couple quarters have just been up a bit. Anything to note there that we should be aware of?
E. Randall Chestnut: Not at all. I mean it's a -- during the year, Dave, as Olivia has reported before, our receivables did go up because we factor. As you know, I think, we factor everything. And we say 100%. We take almost nothing in-house, I mean, period. And when we factor, we used to factor on maturity-based factoring. Meaning, we would get paid when the receivable matured or shortly thereafter. When we went and had no debt, we didn't need to get paid on the collections on the receivables date. We went to collections-based factoring. So now we get paid on -- when it's collected, plus a couple of days. So that added more to the accounts receivable. But before, it was a loan from -- it was an advance, if you will, from the factor. Because if they paid us on the 60 days, and they got paid on the 75 days, we were borrowing money for that 15 days. And now, we get paid on the 75th day. So it put more accounts receivable on our books but less of the factor. But it was just switching hands. And in the end, it saved us money going that way. But there's nothing else, and everything else is just a relationship of the sales. Sales cause it to go up or go down. And again, we're not concerned about the receivables because they are factored with CIT and they're not on recourse.
Operator: Our next question comes from Bobby Melnick from Terrier Partners.
Bobby Melnick: We've talked about this in the past, and I wondered if there's been any change or any thoughts about the CIT relationship. You noted in your 10-K that there has been some improvement, which you just articulated, but it can't help but again -- and we've had this conversation, you can't help but see that we do 65% of our business with 3 very large companies, 2 of which appear to be very healthy credits. And it costs us still about $0.5 million to do that. And I just wanted to know whether there's been any change in your thoughts about whether that's the right amount of money spent to have that kind of insurance, if you will, and be able to sleep at night or whether there's been any change and maybe we ever think about bringing that back in-house now.
E. Randall Chestnut: Bobby, within the last year to 18 months, we actually did a pretty extensive study to try to put numbers to what you just spoke to. It's not just the factoring agreement, which does help you sleep at night because you don't have to worry about the accounts receivable. But it's also -- they run all the back end. They do all the posting, okay? I mean, when we ship those customers that you're talking about that are creditworthy, that's thousands of invoices, okay? I mean, when you ship Walmart, it's not one invoice, it's thousands. And that posting is actually done at CIT. So if you then factor in that you've got to have more people in the accounts receivable area do posting payables, et cetera, or receivables, et cetera, and credit managers, it basically comes out of to be slightly less to do it the way we're doing than to bring it all in-house and then we have the credit risk. And even though, I will tell you, Bobby, and you're right, a lot of those customers are creditworthy, there's some in our top 5 that are a little bit risky.
Bobby Melnick: Okay. That's helpful.
E. Randall Chestnut: But we do look at it, and we did that study. I would -- it wasn't within the last 12 months, but within the last 18 months for sure.
Bobby Melnick: Okay. I wanted to get down to maybe some more esoteric accounting questions.
E. Randall Chestnut: Go.
Bobby Melnick: You're capitalizing costs of litigation related to a patent that we own and the number for the past year was a meaningful number, $785,000 versus $256,000. I wondered if you could comment on that because while it appears to be certainly in compliance with GAAP-accepted standards, it doesn't appear conservative. In other words, the conservative view would be write off all litigation costs. And I wondered if you could comment on that, whether there's any decision that the company has to make or whether that's a mandate that's handed down by auditors.
E. Randall Chestnut: Well, no, it's a combination of both, Bobby. And we actually -- we looked at this long and hard and we did a study from a third party, not from us and not from our auditors, but from a third-party audit firm, and they put a valuation on the patent and et cetera, and it is up to a certain number. And anything above that certain number we will have to start expensing. And so we are hanging up and capitalizing a certain amount of legal cost up to the number that this valuation firm put on it. Beyond that, I can't -- I just cannot elaborate on the litigation. It is ongoing litigation.
Bobby Melnick: I'm not asking about the litigation, I'm asking about the accounting judgment. I mean, if you were a private company, for instance, right? If you expensed it, you would have a net pickup in cash flow.
E. Randall Chestnut: It doesn't affect the cash flow. We're still paying the bills.
Bobby Melnick: Well, it would affect your cash flow. It's because it would produce a reduction in your pre-tax earnings.
E. Randall Chestnut: Well, yes, it would affect the taxes, you're right.
Bobby Melnick: Correct. So you'd have a $500,000 pickup -- excuse me, you'd have $250,000 pickup from taxes.
E. Randall Chestnut: You're right, it would affect the taxes. And therefore, it would affect the cash flow for paying those taxes. But I mean, it's a combination of the company, and it's reviewed and blessed by the auditors and it's -- the valuation was done by a third-party firm. And we're comfortable with where we are on it, okay?
Bobby Melnick: Okay. Olivia, one question on the accounts receivable allowance. The last couple years, you've expensed -- you've incurred more than you've reserved. The net effect of which is that your allowance has declined from $1.4 million to $1.1 million to $0.3 million or $300,000. I wondered if you could comment on that.
Olivia W. Elliott: Yes. What happened is, is over time, we've had a combination of when we have charge backs from our customers, and in some cases, like these allowances that we had several years back, one of our major customers took it annually. Then we went to where they took it every so often. And now we have actually gotten that allowance to where it's per invoice. So it's not as many charge backs later on, and it's coming off as we invoice the customer.
Bobby Melnick: So in other words, you were conservatively accounting for this because it was unclear what the customer would do. And now that you're matching it more on a timely basis, you don't need to carry the $1 million plus reserve. Is that one way to look at it?
Olivia W. Elliott: No. It's actually the same percentage. We knew what the percentage was going to be. It was just a matter of the timing as to when the customer actually took the funds.
Bobby Melnick: Okay, okay, okay. So you're reserving it over the course of the year, and then they're taking it at a period. Whereas now, they're doing it more matched over the course of the year.
E. Randall Chestnut: Now they do it on every invoice.
Olivia W. Elliott: On every invoice.
Bobby Melnick: Okay. Okay, so in other words, because the appearance, of course, is that it appears that you're pulling earnings out of your allowance.
E. Randall Chestnut: No, it's not that at all, okay? The percentage is identically the same. And...
Olivia W. Elliott: From an income statement perspective, it was always a reduction to net sales.
Bobby Melnick: Okay. Okay, great. Last question, well, last accounting question and then just a sort of general question. I may have missed this, so I apologize. The increase in comp of $700,000, in ferreting out, there's a little bit there that has a function of option treatment as the stock price went up. But it seems to me that from an eyeball, that the bulk of that was just increase in comps, which looks to be a big number. Can you talk a little bit about it and help us understand where that came -- I mean, one wouldn't expect to see such a sizable increase in comp for a year in which, obviously, our earnings were essentially flat.
Olivia W. Elliott: It's a combination of the increase in the stock price. So, of course, the value of the option grants, et cetera. We did have an accelerated vesting in the current year; that was part of it. And then other of it was in variable compensation increases.
Bobby Melnick: Variable comp would be tied to what?
E. Randall Chestnut: That's based...
Bobby Melnick: Because if it's tied to sales, it would have been down. And if it's tied to earnings, it would have been flat. Is it tied to Randall's age?
Olivia W. Elliott: No.
E. Randall Chestnut: No.
Bobby Melnick: That goes up a little bit every year?
E. Randall Chestnut: That would go up, if it was, I promise you Bob, okay? But that's not the case, okay? It's tied to earnings, okay?
Bobby Melnick: Well, our earnings were flat, and our comp was up, so...
E. Randall Chestnut: Not all over across-the-board.
Bobby Melnick: Okay. Last, and I'm done. I'm just -- I'm not trying to be a bad guy here. Question, with respect to the directors, Randall, you and I have spoken about this. We've had some shareholders in the past who were large shareholders and who elected or appointed or had the right to appoint representatives, and there's been some dialogue about their contribution and their ongoing involvement. Has the Board of Directors -- my personal view, my professional view, I should say, is I that I think these guys have been very helpful in a lot of the decisions that the company has made: strategy, capital allocation, corporate governance, and I would like to see them reappointed to the board, notwithstanding, if you will, that they're benefactor no longer is a shareholder. I'm wondering, when I get my proxy statement, whether these 2 individuals will be renominated or whether the company has decided to go another direction.
E. Randall Chestnut: And Bobby, I mean, I can't answer that question because the proxy is not out yet, okay? And you know that.
Bobby Melnick: So the company hasn't decided? Or they...
E. Randall Chestnut: I didn't say that. Let me answer the question.
Bobby Melnick: Sorry.
E. Randall Chestnut: No, no, no. The proxy will go out in a week to 10 days, okay? And I hate to be blunt, but you're going to have to wait until then.
Bobby Melnick: I can't wait, Randall, give me a hint.
E. Randall Chestnut: I can't do that.
Bobby Melnick: Rub your left ear if Melvin is on the board, your right ear if Jon's on the board.
Operator: And our next question comes from Chris Mccampbell from Southwest Securities.
Chris McCampbell: My questions have been answered, but I certainly appreciate the last shareholder's question. So I feel great.
Operator: And sir, at this time, I'm showing no additional questions.
E. Randall Chestnut: Okay. All right, Jamie, we'll wrap up. And I'd like to thank all shareholders for participating in today's call for our full year and fourth quarter of FY '13. And we'll be back in a couple of months to talk about first quarter of FY '14. In the meantime, if you have questions or would like to talk to us, please give us a call. Thank you very much. Jamie, you can give the final closing.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's conference presentation. You may now disconnect your telephone lines.